Operator: Good afternoon, and thank you for joining Airbnb's Earnings Conference Call for the Third Quarter of 2024. As a reminder, this conference call is being recorded and will be available for replay from the Investor Relations section of Airbnb's website following this call. I will now hand it over to Angela Yang, Director of Investor Relations. Please go ahead.
Angela Yang: Good afternoon, and welcome to Airbnb's third quarter of 2024 earnings call. Thank you for joining us today. On the call today, we have Airbnb’s Co-Founder and CEO, Brian Chesky and our Chief Financial Officer, Ellie Mertz. Earlier today, we issued a shareholder letter with our financial results and commentary for our third quarter of 2024. These items were also posted on the Investor Relations section of Airbnb's website. During the call, we'll make brief opening remarks and then spend the remainder of time on Q&A. Before I turn it over to Brian, I would like to remind everyone that we will be making forward-looking statements on this call that involve a number of risks and uncertainties. Actual results may differ materially from those expressed or implied in the forward-looking statements due to a variety of factors. These factors are described under forward-looking statements in our shareholder letter and in our most recent filings with the Securities and Exchange Commission. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained on this call to reflect subsequent events or circumstances. You should be aware that these statements should be considered estimates only and are not a guarantee of future performance. Also, during this call, we will discuss some non-GAAP financial measures. We provide a reconciliation to the most directly comparable GAAP financial measures in the shareholder letter posted to our Investor Relations website. These non-GAAP measures are not intended to be a substitute for our GAAP results. With that, I will pass the call to Brian.
Brian Chesky: All right. Good afternoon, everyone, and thanks for joining. Airbnb had a strong third quarter. Nice and experiences booked accelerated throughout Q3 and into Q4. Despite a slower start to the quarter due to shorter booking lead times compared to last year bookings grew steadily each month returned to double-digit growth by the end of Q3. We had a $123 million nights and experience booked. Revenue grew 10% year-over-year to $3.7 billion. Net income was $1.4 billion, representing net income margin of about 37%. And we generated $1.1 billion of free cash flow. In fact, our total trailing 12 month free cash flow was $4.1 billion, which allowed us to repurchase $1.1 billion of our shares in the quarter. And as of the end of Q3, we have $4.2 billion remaining on our repurchase authorization. Now, during Q3, we continue to make progress across our three strategic initiatives, which are making hosting mainstream, prospecting our core service and expanding beyond the core. Now I am going to share a few highlights about each. First, we're making hosting mainstream. We are focused on making hosting just as popular as traveling on Airbnb. Today, we have over 8 million active listings with growth across all regions and market types. To retain and track new hosts, we prioritize making hosting easier. Last month, as part of our 2024 winter release, we introduced co-host networks, an easy way to find the best local host to manage your Airbnb. Co-hosts are some of our most experienced hosts. They provide personalized support ranges from listing setups, can managing bookings and communicating with guests. Second, we're prospecting our core service. Over the past three years, we've launched more than 535 new features and upgrades to make Airbnb a better service. Our 2024 winner release included over 50 upgrades for guests that make Airbnb a more intuitive and personalized App. This includes features like recommended destinations, suggested search filters and personalized listing highlights. We're also focused on one of the top issues for guests, listing quality. Since last year, we removed over 300,000 listings that failed to meet guest expectations. And we will continue to invest in improving the quality of guest stays. Finally, we're expanding beyond our core. Outside of our core markets, there are many countries and regions that remain underpenetrated and we're focused on these expansion markets as part of a global market strategy and we're seeing great results.. In Q3, the growth rate of nights booked in our expansion markets more than doubled that of our core markets. Now, in addition to driving growth in our expansion markets, we're also preparing for an Airbnb’s next chapter, which will take us beyond accommodations. And you'll see more about this next year. We also saw a number of positive business highlights in Q3. First, guest demand accelerated throughout the quarter. As I mentioned earlier, after a slower start in July, bookings accelerated each month in Q3. Global lead times also normalized throughout the quarter. Now part of this growth has been driven by our App strategy. Nights booked on our App increased 18% year-over-year in Q3. App bookings now account for 58% of nights booked. Now this is up from 53% in the same period last year. And we also saw continued growth of first-time bookers, with the highest growth among young travelers. This is quite exciting. And I'm really excited to share that we recently surpassed 2 billion guest arrivals on Airbnb. Second, our global market strategy is working. We continue to drive growth by investing in underpenetrated markets. While our timing and investment level will vary by market, our strategy is consistent, to make Airbnb local and relevant in more places around the world. Now in each market, we focus on finding product market fit, increasing brand awareness, and driving traffic. And I want to just use one country as an example, which is Japan. Airbnb is still pretty new in Japan and it's pretty unfamiliar to most Japanese travelers. So to raise awareness, we launched a brand campaign last month is centered on domestic travel. Beyond Japan though, we are all so introducing more local payment options and countries around the world like Vietnam, Denmark and Poland and in fact, by spring of next year, we expect to offer nearly 40 local payment methods around the world. Now finally, supply quality is improving on Airbnb. We are focused on removing low-quality supply, as well as make it easier for guests to find the best places to stay. I shared that we removed over 300,000 listings last year. And we are seeing the - we're already seeing this payoff. Customer service contact rates have decreased, guest MPS has improved, and we're also reducing host cancellations, which are now almost 30% lower than a year ago. And we've made it so much easier for guests to find the best place to stay with Guests Favorites. In fact, since launching Guest Favorites a year ago, last November, over 200 million nights have been booked at Guest Favorite listings. All right, next I want to share briefly some highlights from our 2024, which was last month on October 16th. Starting with the Co-Host network. We know that hosting Airbnb is one of the best ways to make money from our home. But not everyone has the time to host. So that’s why we introduced Co-Host Network, an easy way for people to find the best - to find and hire the best local co-host to manage the Airbnb. Co-host offer personalized support for host needs, everything from setting up your listing, demands your bookings and communicating with guests. These are super experienced hosts with an exceptional track record, 73% are super hosts and 84% manage Guest Favorite. Now, when we announced this on October 16th, we launched the Co-Host Network with 10,000 Co-Hosts across 10 countries. In this three weeks since we launched, we've already received interest from over 20,000 potential new co-hosts. This is huge, this is way bigger than we were expecting. And we are making co-hosting easier, we really believe that co-host network will allow us to lock even more high quality supply. And we also introduced safety updates for guests and make Airbnb a more intuitive and personalized App. And some of the features include a personalized welcome tour of the App for first-time guests, suggested destinations, winning guests pass the search bar will recommend locations on their search and booking history. And for our hosting highlights. So when a guest views, a listing, we will highlight the details that are relevant to their search and there are dozens of these features just like these. This is quite literally the beginning of a more personalized Airbnb. Now turning to Q4, last quarter, we talked about shorter booking lead times, but as I shared nights and experiences booked accelerated throughout the quarter, returning to double-digit growth by the end of Q3. While we know the comps from last year will get harder in the back of the quarter, we are anticipating that nights booked will accelerate in Q4 relative to Q3. So with that Ellie and I look forward to answering your questions.
Operator: [Operator Instructions] Our first question comes from the line of Richard Clarke with Bernstein. Your line is open.
Richard Clarke: Hi, good afternoon. Thanks for taking my questions. Just a question on supply. It looks like you stopped sort of giving us the year-on-year supply growth I guess because of the removals. I guess,, any color on what’s happening to maybe gross supply growth. And whether the removals you are doing and additions you are doing and seeing any meaningful shift towards professional hosts as you guys do that process or co-listed supply. And then maybe any color on whether this co-hosting is unlocking supply here. You talked about adding co-hosts, but are you getting additional supply due to the co-hosting initiatives?
Ellie Mertz: Yes, thanks, Richard. Let me talk a little bit about what we've seen on supply. As you probably noted, our initiatives around supply have really morphed over the last 12 months. We can continue to focus on growing our overall supply base. But we incrementally are focused on making sure that we are delivering very high quality levels of supply across the world to our guests. And the two important features that we've done to drive quality are obviously introduction of Guest Favorites a year ago, and then ,second the removals that you called out over the last 12 months. And the interesting thing is, we’ve seen what we hope to have seen from these quality initiatives, in particular, what we see is that, based on encouraging our guests to use Guest Favorites and taking down those listings that we believe do not meet our quality expectations or those of our guests. What we see is that the average rating of our stays goes up. The incident rates go down and customer service contacts go down as well. So, we're seeing the intended impact of those quality efforts, which we believe, one, it improves the guest experience, second, allows for improvements of rebooking rates over time; and third, more broadly increases booking confidence around Airbnb. To the specific questions in terms of what has happened to the supply growth? It continues to be strong and in Q3, we continue to see Supply growth exceed demand by a couple of points. So it continues to be the very healthy, but again the focus more recently has been on incrementally raising the quality bar on Airbnb, not just adding more supply to the platform. Brian, do you want to talk about co-hosting or actually take that as well?
Brian Chesky : Yeah, I can take. Yeah, I can take that. Richard, it’s a great question. Airbnb, I think we are just scratching the surface of how big this company can become. And the growth rate of demand is going to fall probably in line with the growth rate of supply. And so, one of the questions we had was, well, how do we get millions more listings in Airbnb? And how do we not just get millions of property managed listing? How do we get millions of regular everyday people to put their homes in Airbnb? Well, we are doing obviously a lot of research and we've asked people and we learned two things. The first thing we learned is that, people are very interested in making extra money in the home Ttey already have and make sense, they pay for this asset. That they can make tens of thousand dollars a year. Why wouldn't you want to put on Airbnb? But the second thing we learned was that the number and reason people don't host is because a lot of people say they don't have the time. And so that’s why we ask ourselves, what if we get match people with homes, that don't have time with people have extra time that don't have homes. The Venn diagram would potentially unlock millions more listings and the best part of all was this would be alternative so some of the third-party property management companies if you want to have one of the best host to Airbnb and the average 5 star rating. for co-host in Airbnb is significantly higher than the average rating of a third-party property manager. So that's what we did with the Co-Host Networks. Now we start with 10,000, co-host. We have 20,000 people that apply in the three week expense. And this is going to be something that we're going to be focusing on in the coming years to come. But, to answer your questions very directly, Richard, not only would this unlock more supply, I think in the coming years, this is going to lock millions of listings. I think that they - the vast majority of them are going to be everyday people that are going to list exclusively on Airbnb.
Richard Clarke: Thanks. Thanks very much.
Operator: And your next question comes from the line of Mark Mahaney with Evercore ISI. Your line is open.
Mark Mahaney: Hey, thanks. Two questions please. You talked about this acceleration or improvement in. room nights as you kind of went through the quarter. Did that come from any particular geographic areas? We'd heard that Europe was one a market that was recovering maybe faster than others. Was that your experience, as well? And then, just back on the co-hosting experience, you had this out in a series of markets for a while. Is it how long do we see materiality come through it? Like have you seen these in relatively small markets where you’ve rolled it out this will become material to the growth rate in those markets already in the 6 to 12 month, period or is this take a just more of like a 12 to 24 month process? Thank you..
Ellie Mertz: Thanks, Mark. Let me first answer your first question with regard to the acceleration of the business. What we shared in the letter was that for your line to where we were back at the time of the last earnings call, we called out that there was a bit of softness globally related to lead times is specifically what we shared with that. We were seeing continued strength of last minute bookings, but relative softness in terms of the longer lead times. And what we saw over the course of the quarter, specific to both the regions that you called out, but globally was that lead times over the course of July, August and September normalized and came back almost in line to where we were in ‘23. I think you saw that most notably in EMEA and I think probably some of the, long lead time softness that we were seeing in EMEA was certainly related to some distraction around the Olympics because we certainly saw the bookibgs pick up after the Olympics pass, but more broadly that acceleration was seen across all four major regions. And then, on the co-hosting, Brian gave you, I think a broad answer in terms of the expectations there. One of the reasons that we had confidence in terms of launching the Co-host Network more broadly is, the pilots that we've had over the last several years, in particular, in France, what we've seen is that, the co-host themselves are very incremental in terms of going out and attracting high quality listings themselves. Obviously, it will take time for us to scale co-hosting to a level that is, meaningful relative to the scale of our current business. But what we've seen from those pilots is extremely encouraging and we'll continue to build out the network from here on.
Operator: And your next question is going to come from the line of Brian Nowak with Morgan Stanley. Your line is open
Brian Nowak: Thanks for taking my questions. I have two. Excuse me. The first one, I think that the 4Q EBITDA guide sort of implies a margin somewhere in the 20s around 27%, 28%. Is there any sort of timing factors you call out that are sort of driving the margin down at that level? And then, how do we sort of think about philosophically the levels of investment and sort of the philosophy around investment and margins into next year to sort of go off this 27 number in the fourth quarter? Thanks.
Ellie Mertz: Yes. So Brian, talking a little bit about Q4 obviously, the guide does imply a, several points margin compression relative to last Q4. And you should see that most specifically in terms of both the product development line item as well as marketing. In marketing, we continue to invest in our global expansion markets in our comm strategy around icons and then also Performance Marketing where we're seeing really great efficiencies. There's also a little bit of timing difference in terms of spend from Q3 getting into Q4. But in aggregate, the level of incremental marketing spend on a year-over-year basis is relatively modest. So your second question is, how do we think about the level of investment and philosophy around margins in 25? Let me let me give you a little bit of color in terms of our overall approach as we head into to 2025 Obviously, we will give more color in the following earnings call. But let me just talk a little bit about the approach today. So, if you think about how we've been managing our P&L, I think it's important you're certainly well aware of our history. But I think it's important to reflect on how well we've managed the, the overall P&L since we went public. We've been extremely disciplined in terms of delivering over a quarter basis points of EBITDA margin expansion since 2020 going from negative margins in in 2019 and 2020 to over 35% consistent with our outlook this year. And we’ve demonstrated consistently over these last several years that our business model is, extremely strong. It's extremely profitable and obviously has world-class levels of cash flow generation. And over the long term, I think you can expect that there is opportunity for further margin expansion. But when you remind through where we are right now? We've talked a lot about this. We see a huge incredible opportunity to invest in growth, both investing in growth in our core accommodations business, as well as our new offerings. And so, as we head into 2025, we will continue to lean into our growth initiatives around core optimizations, global markets expansions and new products and services, which is then the question is, how exactly will we be managing the P&L? Let's say for the core business, our goal is every year to make the core business better and more efficient, and deliver greater value for our guests and hosts. And the way we do that is to find incremental efficiencies every year across in particular variable costs. And invest some of that into greater service levels on both sides of the marketplace. In addition to that in terms of the growth investments, in ‘25, we will be investing in our existing expansion markets, as well as a handful of incremental expansion markets and we will be launching new products with our upcoming 2025 spring release. The good news about these investments is that, we intend for them to be relatively capitalized, consistent with our core business. but we will be adding members to our teams and spending to our marketing to support these growth levers. We will provide greater detail on the exact level of investment and growth expectations on our next call early next year.
Operator: And your next question comes from the line of Justin Patterson with KeyBanc. Your line is open.
Justin Patterson: Great. Thanks for taking the question. Brian, recently you’ve passed the two billion guest milestone and you did that next one billion much faster than your first one billion. As you look at the business today, what do you - what investments you need to make to attract that next billion plus guests to Airbnb when you look at just the types of people taking trips today? What demographics do you under-index on? And how do you think some of these service releases can really bring that next wave of customers? And thank you.
Brian Chesky : Justin, it’s a great question. Maybe I'll just start by stepping back, it's pretty crazy that Airbnb has been used by two billion guests. Because I remember when we started Airbnb, I remember telling investors one day this company be huge, thousands of people will use it. And I think there's been a common like pattern where we keep saying it's going to be big and it’s even bigger than we imagined. And I think the reason why is, the travel industry, as you know, you guys cover it is it's approximate the size of the oil industry. And people love traveling. And one thing I know about the future is more people travel in the past. And, I think that we'll be creative with the new category. And this is the business that is approaching half a billion nights booked a year. And so the question is, well, how do we get to a billion nights a year? Or how do we get a company to even be an order of magnitude bigger one day? Because I'm 43 years old. I started to from my 26. And I feel like I got a couple decades ahead of me. And so, where do we go from here? I think that if you think about the history of this company I think you could maybe break it up into a few chapters. The first chapter was when we had this idea, Tony and I in 2008 - and we went on it really crazy [Indiscernible] And now it’s Phase one. And then I would say the second chapter which are probably in now exiting was the beginning of the pandemic, we lost 80% of our business and then we had the right size the company, become really profitable, go public, listing the customer feedback and really strengthen the foundation for the next chapter of the company. And that’s kind of the stage we are in. And I think the next chapter of Airbnb is starting next May. Because I think the next chapter is really about taking Airbnb and expanding this beyond our core business. And so, I will outline three areas that are going to allow us to grow and let's start with the shortest horizon to a longest horizon. The shortest horizon is actually just our core business. Again, we do, - we're approaching 500 million room nights booked a year, I think our core business could certainly get to a billion nights a year. I am not going to put a time horizon on it, but the way we are going to do that, is we are going to continue to increase quality. For everyone who stays in Airbnb, nine people staying on a town. So the question is, what if we could just 1 of those other people to stay in Airbnb? That's how you get to a billion. And so, we think quality, mansion quality is a part of it. I think our work on affordability and usability are also going to be really, really critical. So we're going to continue to focus on the core business. The next horizon, our Global Market. A huge percent of our business is still concentrated in five countries,The US, Canada, Australia, France, UK. So those are all our core markets. But there are massive opportunities in emerging markets. There's nine of them that I'm focused on in the Americas, it’s Mexico and Brzil. In Europe, it’s Germany, Italy and Spain. And in Asia, it’s the big four countries, which are Korea. Japan, India and China. I think this is what I've described as a medium-term horizon. And, by the way, just as for a second, if there was one company in the world, that you can bet on to expand internationally, I think it will be a global travel network. So, I think there's a huge amount of opportunity here. And the biggest opportunity by far is expanding beyond our core business. I'm reminded of Amazon, one of the biggest companies in the world. And they started as an online book seller and can you imagine if Amazon was only selling books to the half way they would become? And yet we for the last 17 years for the most part have only sold one thing, which is basically vacation rentals Airbnb homes by the night. And so, I think that we have a huge opportunity to expand beyond our core business of accommodations. Amazon went from books to what they do first after books, they did CDs and DVDs and people used to buy both. And that was a very close adjacency. And eventually, they sold everything and then they even sold things beyond consumers to enterprise. I think Airbnb is going to go on it’s own journey and what I expect is every year now, for the coming years, we will launch 1 to 2 new businesses that will generate $1 billion or more of revenue incrementally a year. I'm not going to be able to share everything we're doing or even most of the things we are doing. We like to reveal them during our release, but one thing that we've previewed to you was we are going to be reimagining Airbnb experiences and those are going to be coming next May, but we have some really core other things that we are working on. And it’s going to basically be starting with the nearest adjacencies around travel and over the next decade, we're going to go far beyond travel.
Operator: And your next question comes from the line of Justin Post with Bank of America. Your line is open,
Justin Post: Great, thanks for taking my question. I just wanted to ask about the new markets. If you could give us the expansion markets, maybe some of the biggest ones there? I know Japan is one of them and then, how big they are. So we can think about the growth contribution next year. Thank you..
Ellie Mertz: Yeah, Justin, let me just give you some context in terms of our overall kind of concentration of the business. So, if we think about the core markets and again remember those are US, Canada, Australia, France, and the UK. They currently represent about three quarters of our gross booking value. And then the rest of the world is obviously a quarter. The expansion markets that we're focused on are kind of 15% approximately of the remainder. But in a normalized world should be significantly larger. So if you give, - just to give you a sense in terms of kind of the success that we've had, that encourages us to keep going down this path and adding more expansion markets. I just call out actually Brazil because it was one of our first expansion markets that we began to focus on about two years ago. We introduced localized brand campaigns. We localized the products. We provided incremental payment methods to make it more locally relevant. And if we look at the success of that specific market, would you see - what you would see is that, for Brazil, from a destination nights perspective is actually about three times as large as it was pre-pandemic. And you can see just like paying attention to a particular market deploying, our full funnel marketing strategy, being very thoughtful about product market fit allows us to scale these currently smaller portions of our business to over time a significantly larger proportion. On the other end of the spectrum, I would highlight Japan, which we obviously called out in our shareholder letter, given the recency of our um, of our - the launch of our brand campaign there. That’s obviously a significantly large market. But we are relatively new in the eyes of Japanese travelers. And so if they've opportunity to really introduce ourselves to the local traveler have them under understand the opportunity locally to use Airbnb domestically and begin to scale that business commensurately. And so, when you think about the scale of these markets where we are today, Brian and I characterized this as a medium-term opportunity, because the immediate opportunity is large, but it will take time for us to scale these individual markets such that they have an increasing impact in terms of our consolidated global results given the relative concentration to that.
Operator: And your next question comes form the line of Lee Horowitz with Deutsche Bank. Your line is open.
Lee Horowitz : Great. Thanks so much. A couple of I could? Maybe you, your online travel peers have given color that's what they think their long-term bookings growth how that looks like. I mean, I guess, given your leverage to alternative accommodations, because the assumption is that you guys should be able to go faster. Can you give any color maybe on sort of what you see is the long-term growth algorithm for your core business? And then, what new verticals may add to that on top of that? And then one follow-up if I could.
Brian Chesky : Yeah, Lee, maybe Ellie before you answer the question, can I just say one quick thing? Lee, o don’t think we do alternative accommodations. I think alternative accommodations is what our competitors OTAs do? I think alternative accommodations is a bit of a catch all that includes property managed homes, service apartments, boutique hotels. But I've never heard a customer say alternative accommodations. I hear them say Airbnb. I am going to book in Airbnb. I am going to get Airbnb. And I think we are really in a category of our own. So, just you know, I just think we don't refer to it and we don't think of it as alternative accommodations. So Ellie, over to you.
Ellie Mertz: Yes, thanks Lee. So we think about overall growth algorithm and our growth drivers it's exactly as Brian has described earlier in terms of talking about the opportunity. It really starts with focusing on our core offering and optimizing it such that we are effectively limiting the barriers, to trying Airbnb relative to alternatives in particularly hotels. And so that's why we focus so much on things like affordability and reliability, because we know, for many consumers, even though they're aware of Airbnb, there is a gap in terms of their booking confidence around what they are going to get from us. And so, every quarter, we work at reducing that gap of consideration. And when we look at the business from that perspective, there's a huge amount of growth room ahead even in our core markets, because we know so many consumers consider - continue to consider themselves as hotel guests. not necessarily Airbnb guests. And so, a lot of the optimizations and marketing are both raising considerations, as well as helping people frankly get through our platform more easily by making it easier to book, making it more personalized and getting them the right listing. So, we continue to focus on these core optimizations, because we believe it's a considerable future, current I should say and future growth lever that will continue to pay dividends in particular in our core markets but more globally, more generally globally across our platform. The second component is what I just spoke about in terms of responding to Justin. Our business today is over-concentrated in our core markets and is not necessarily reflective of the commensurate business opportunity across the globe. And so, over the couple of years, you should see, assuming that our global market strategy is successful. You should see the contributions to growth of those expansion markets grow every single quarter and I think the results that we've delivered so far this year suggest that that is, that is working. We just need to continue to scale those businesses such as they contribute to global growth more significantly.
Lee Horowitz : Great. And then, to the extent that sort of your improving 4Q outlook the acceleration is really nice, it is an output of some of the investments that you guys are putting into place driving the kind of gains that you want. Does this give you confidence to throw fuel on the fire and invest more aggressively behind those initiatives? And maybe how we should think about the way that that interplay should play through in terms of margin over the longer term?
Ellie Mertz: Well, I think where we've seen success. One of the areas is core optimization and so we have built out the product roadmap around that because where we see success in terms of improvements we're making to the booking flow. We continue to keep a stable set of resources against those challenges. So that every single quarter, the price is getting better and we're delivering more gains from those product improvements.
Operator: And your next question comes from the line of James Lee with Mizuho. Your line is open.
James Lee: Great. Thanks for taking my questions. The question of core initiatives here, can you guys talk about the progress you have made and affordability, and quality that’s driving, maybe some of the increased bookings that we’ve seen in the quarter ? And also, can you give us an update on the outcome from a service transformation, maybe what's working, what's not and what's yet to be improved? And when do you expect to complete the process? Thanks.
Brian Chesky : Yeah, I got this. Hey James, these are great questions. I'm really excited about it. So, I'll take each, affordability and reliability and customer service. Affordability, it's funny, the first tagline Airbnb ever had was an affordable alternative a hotel. And it was the number one reason that people first tried to use Airbnb. Now I think today that's not the main reason people use Airbnb. I think they use it because they want to travel like a local. They want more space. They want homes in real neighborhood, better equipped, but it's really, really important that we don't ever leave our roots of affordability. And I think in the pandemic, I think there was so much demand, there was constrained supply, prices went up, and I think we addressed it from our affordability risk. So, a couple of years ago, we actually got very, very serious about driving more affordable in Airbnb. And we did a few things. The first thing we did is, we heard a lot of complaints about rising cleaning fees and I set the fees in Airbnb. So we introduced total price display, total price slates exactly what it sounds like you can click it on and see the total price upfront. And, since we’ve done that, more than 300,000 listings have removed or lowered their cleaning fees. But this has been huge. Next, we introduced weekly and monthly discounts. And now more than, - we're introducing more entry points in weekly, monthly discounts.Two-thirds of hosts now offer discounts. In fact, more than half of our hosts offer a monthly discount and now 70% of our nights booked are for monthly stays. We introduced a similar listings tool. So what we noticed was a lot of hosts were overestimating what they could make on a nightly basis, especially new hosts. So we built the tool for you to see other listings in your neighbourhood and 2 million hosts have used this tool. And basically, when most of who use this tool they realize that they need to make sure they are competitive and so it brings the prices in line. Now over the this past release on October 16th, we also added a couple more different features like price tips, hosts can now view suggested prices based on similar listings in that area and search tips. So throughout the guest search, we're going to offer relevant tips to help them find last minute stays. And probably the most important thing you can do to drive affordability is just continue to increase supply. But we know about almost every marketplace is that as supply goes up relative to demand prices come down and so that's a really big effort for us. The results have been the following: In the last two years, while Airbnb prices on a like-for-like basis, if you net out mix shift, has it remains fairly constant hotel prices have gone up considerably. So we believe that we've actually become more competitive from – cancelling relative hotels last year. That’s affordability. Now reliability. Reliability, as I said is probably the most important thing that we can do to drive more growth in our core business. If we do nearly 100 million nights a year in bookings, the question is, how do we get the next 100 million nights booked. And there is no silver bullet, but the closest thing to a silver bullet is quality and reliability. And there is a lot of things we are doing, quite literally dozens. But I can just pick two. The two things I’d pick are at the top, Guest Favorites, piloting the two million best listings in Airbnb. We also highlight the best 1%, 5% and 10% listings. As Ellie mentioned, we’ve got 200 million nights booked just in Guest Favorites. Now, this is amazing. Why it is great? Because number one, customer service contact, these listings are down , our profitability on a per booking basis goes up, NPS is up, because NPS is up that means that rebooking rates are up. That also means the word of mouth is up, but most importantly, a lot of people that wouldn't have considered staying in Airbnb, now would. I mean, I'm going to go on a NIM and say that while the average Airbnb is not as reliable as a hotel, I believe the average Guest Favorite is. And we have two million to choose from. Two million listings is more inventory than Hilton or Marriott, nearly combined, by the way. So there's a lot of selection here. At the bottom-end, just like any company you need to make sure you reward the top performers and you also deal with the people that aren't performing. We've removed more than 300,000 listings over the last year, the last two years of hosts that weren't meeting our quality standards. So, these are just some of the things we're doing on reliability. The last is customer service. And we are going through a really exciting transformation on customer service. I don’t want to be one of the CEOs just brings up AI every earnings call, because I think you got a happy measure, but we are seeing some really great progress on AI-powered customer service. The way we think about customer service Powered by AI is in three phases. Phase 1 is the phase we're in right now. If you were to most of - first of all most of our customer contacts, we get over 10 million contacts here, most of the contacts that we anticipate getting in the coming years aren't going to be phone calls. They're going to be chatting through the App. I think really personally don't like calling customer service and having to dial, and I want to be able to chat. And chat AI can intercept. And so, we think in the future the vast majority of our chats are going to be intercepted in the end directly by the AI agent. And so there's really three phasing for this. Phase 1 is just answer basic general questions. We're rolling out a pilot that could answer basic general questions. Phase two, is personalization, personalize the questions. Phase three is to take actions. So I’ll give you an example, let me just give you one example. Let's say, I were to contact customer service and I’d say, how do I cancel a reservation. In Phase one, what we are doing now AI agent will answer – copy even better the average customer service agent how do cancel a reservation. So Phase 2 is how you cancel reservation step-by-step. Phase 2 personalization, they’ll say, hey Brian, I see you have a reservation coming up in Los Angeles next week. Here is how you cancel that reservation. And Phase three is taking actions. It would say hey Brian. I see you have a reservation come to Los Angeles. Would you like me to cancel it for you? Just tell me yes and I’ll do it for you. I can even handle the rebooking. So this is where we think customer service can go enabled by AI, and we've hired some of the best people in the world to work on this and I really excited to tell you more progress about it.
Operator: And your next question comes from the line of Doug Anmuth with JPMorgan. Your line is open. Doug, if you could check to see if your line is on mute. And moving forward to our next question from Kevin Kopelman with TD Securities. Your line is open.
Kevin Kopelman: Thanks a lot. A question on the new services that are expected to come out next year. Do we think of those new services as driving some revenue growth right off of that for the second half next year? Or areyou anticipating more gradual rollouts in more of 2026 revenue drivers? Thanks.
Brian Chesky : Yeah, I can take that and Ellie feel free to add. Kevin, the answer is a little bit of both, I mean, we are, the way like – let’s just back up? So Uber, let's just take Uber. I admire that company. They've done really well. When they launched Uber Eats, they launched in one market. And they had it city-by-city market and was very, very gradual. We are not going to do that. We're going to be much more aggressive. When we launch the new offerings next year, they are going to be available immediately in more than a 100 cities around the world. So we believe in trying to reach scale a little more quickly just given how big and how mature we are. So, because of that, we do think there will be some incremental revenue next year, that will hit the financials. But I also just want to like step back and just say that what we've learned from Uber Eats, from Amazon category expansion, from Door Dash, from we can go down the list of marketplaces is, when something's built off of small base, you've got to be patient. I think that there's a, multi-billion dollar revenue opportunities, multiple of them that will be introduced next year. But I also would point people to a 5-year Horizon. For a number of these things to really reach scale, not, they won't reach scale in just a year or two. And part of that is it's a network effect business. We want to roll it out carefully. We want to make sure it’s really well done. Ellie, do you want to add anything?
Ellie Mertz : The one thing I would add is, Kevin, we will obviously give you much more detailed color next year on the next earnings call. But what you should anticipate is that, some of the investment behind those new services will front run the revenue. So you'll begin to see those expenses or those investments I should say, at the beginning of the year, whereas the revenue will start to scale once we've released the new offering.
Operator: And your next question comes from the line of Patrick Scholes with /Truist. Your line is open.
Patrick Scholes: Great. Thank you. Good evening. I want to go back to the first question I was asking and ask it maybe a little more direct. Can you provide us in percentage terms what your year-over-year net unit growth was in the quarter? Thank you.
Ellie Mertz : On Supply?
Patrick Scholes: Yeah. Supply, correct.
Ellie Mertz : Yeah so we had over 10% growth of supply as of the end of Q3, which is down several points based on the removals.
Operator: Your next question comes from the line of John Colantuoni with Jefferies. Your line is open.
John Colantuoni: Great. Thanks for taking my questions. Wanted to ask about the Experiences offering. As you get closer to the relaunch next year, how are you thinking about sort of the pace of expansion and scalability? I know, you'd like to keep experiences unique like your accommodations offering. But I'm curious if that means it will take longer to build supply behind it. And maybe, you could also sort of give us a sense for any investments in Tech or marketing that you plan to make around the relaunch of Experiences? Thanks.
Brian Chesky: Yeah, John, really good question. I think we are able to reach a sweet spot where I think we can - we're going to offer something that's really, really unique and we will scale. Now, I want to just moderate expectations that again, these Journeys are going to be multi-year journeys that I do not think that there's a choice. I don't think we need to make a choice between you mean unique or being at scale. I think - by the way, I think our core business proof that a business that’s approaching a hundred billion dollars in gross sales a year. And it's pretty unique, it's pretty different than a hotel. So, I'm not going to certainly promise that experience we'll get to that size, but we do think we have something that's very unique, very scalable available around the world. As far as the Tech and marketing, the great thing about our business is, are you not anticipate very many businesses in the next five years are going to need significant investments. We are certainly nothing like many other companies where they have a lot of either capital allocation or major technical investments or even major marketing investments. Here's another way of saying it. We've already made most of the technology investments. When you see the last four years, a huge amount of what we've done is rebuilt the company from the ground up, not just to make it stronger to offer homes, to make it an extensive platform. One of those companies that we learnt from again was Amazon. I know, I talk a lot about Apple. A lot of people reference Apple when they talk about them because of their big launches. But Apple, Amazon is a very good reference point. Initially, as you know, they built a bookstore. They were based on like, IBM. They had to rebuild the platform and I’d extract the platform and you might call compromising to build offer many room verticals. And so, we want to take every new platform that works certification and build it for the next decade for like 50 or 100 different categories, just like Amazon. So now, I think with the timeline when we offer them, but we've rebuilt the technology already most of it to be able to do that. Now with marketing, I don’t think we are going to market everything as standalone businesses. We really like the idea of marketing, all of Airbnb. In marketing there's these two choices. Are you a house the brand or a branded house? We're a branded house. We're one App. We are one brand and we want to market everything in one Ad. So that's a little bit more how we're going to approach it. And so I think for those reasons we will, of course, be investing. I want to be clear, we of course be investing, but it's not going to be like many other companies where they have to go deep and sort of right and get the new business off the ground.
Operator: And your next question comes from the line of Jed Kelly with Oppenheimer. Your line is open.
Jed Kelly: Great, great. Thanks for taking my questions. Just two if I may? Can you talk about in areas such as New York City, where the regulations are becoming increasingly difficult? Can you talk about how we should view those and then potentially leaning more into hotels? And then, as you grow outside some of these non-core markets, is it going to be more brand-driven or will you lean more into Performance Marketing? Thanks.
Brian Chesky: Hey Jud. I'll take that. Yes, so let’s talk about New York. Actually, I would like to talk about two cities. I want to talk about a tale of two cities. New York City and Paris. Because both cities need some major decisions on Airbnb recently and I want to distinguish differencing the two. New York City has, might be this before the housing crisis and that’s a very real thing. And so the decided one of the ways they try to feel with that was banning Airbnb. And a year ago, Airbnb was banned and the theory was that if you ban Airbnb, a bunch of homes will come back on the rental market and prices will come down. Well, for the first time we've gotten a year-long longitudinal study of what happened in Airbnb into the city. Rent prices in New York City are not down. In fact, they're up 3.5%. And by the way, hotel prices are now up to 7%. So, a year after banning Airbnb, it's more expensive to live there. And it’s even more expensive to travel there. And I think that New York City is now a cautionary tale of how to deal with Airbnb. Now, the other side is Paris. Paris, France. A couple years ago, we knew the Olympics were coming to Paris, we started working with the City of Paris. And I think that Paris tood a different approach and set us thinking that Airbnb as a problem they started that Airbnb is a solution to their problems which were they weren’t going to have enough housing for the Olympics. And so in the last year, we went from a 100,000 homes in Paris to 150,000 homes in Paris And I'm pleased to announce that 700,000 guests stayed in Paris over the course of the Olympics. 700,000 and that's like 8 or 9 Olympics stadiums worth of guests. Our favourability in Paris has not been higher in years. And cities all over the world are now coming to Airbnb and saying we want to be Paris not New York, can you help us, because there are thousands events going around the world. So I think that’s the most important point I would make that New York and Paris are a tale of two cities and we can be a solution to the problem. We are not the problem. But specific to New York, I’d just say two things. Number 1, I remain optimistic that there will be a task to us to re-enter New York and people be able to stay in homes in Airbnb because there is a constrained number of hotels in New York. And by the way most hotels are only in Manhattan. And they're in Midtown, Manhattan. Do you want to stay in any part of the part of the Manhattan, the Brooklyn, The Bronx and Island Queens you are going to be pretty limited. And to answer the other part of your question, yes We absolutely welcome hotels on Airbnb and we are going to be adding more hotels to Airbnb. Because for Airbnb the win hotels don’t have to lose we own hotels a night and we believe that you should be able to find homes and hotels on Airbnb. So yes, we are focused on hotels in New York City on Airbnb. We are focused on Airbnb’s and stay New Jersey, stay Jersey City, which is actually closer Manhattan, other parts of Manhattan. And I am optimistic that New York there will be a workable solution at some opoint in the future, I don’t know when that will be and they can follow the lead of Paris.
Operator: [Operator Instructions] Our, next question comes from the line of Stephen Ju with UBS. Your line is open.
Stephen Ju : Great. Thanks. So thanks for taking the question. Som Brian, I guess, on the Experiences, again I'm wondering if there's going to be an angle where this could be something that increases the overall engagement or even raises the overall frequency of usage for you, because, maybe I don’t stay in an Airbnb every weekend. But maybe I tried Airbnb Experience every weekend. So I'm just wondering like how the product development path and how utilization will shift as your selection goes? Thanks
Brian Chesky: 100%, I mean, this is a great point Stephen. Experiences, I absolutely like within, like Airbnb is typically something you book once or twice a year, very, very few people will book Airbnb every month. Unless you are like incredibly prolific traveller and so we struggle from the point, where on the 1 hand, like our average purchase price is over $500, so, like, like the economics are great, on the other hand we have the challenge of low frequency, most people don't travel that frequently. Expansions are going to be, I think, one of many new offerings that you can increase the frequency that can make Airbnb go from an annual App to a monthly usage App or even for some people weekly usage App. And the reason is because Experiences will not be limited just when you travel. Just like they are today. We are designing products, Experiences and new services that will be great when you travel, but you could book them in your own home town like and I think there's a real problem which is what do you what do you want to do on a Saturday? And if you're with your family. Other than the things you already do. If you got a Friday night, what do you do other than going to a restaurant, staying home and watching Netflix I think there is a market for a locals who want to do unique things and I think traveling is how they are going to be expose Experiences, but I do think that some of the people will try them back home. I think the really big opportunity here kind of similar to iPod, when iPod launched you can only use it with a Macintosh. And the really big game for the iPod was once it became Windows compatible. When iTunes be able to Windows all the people that end on the Mac, but iPod end of sales surged. But I do think there is potential place for that down the road experiences. We're gonna position it for most of travelers. But it’’s not going to be exclusive travlers and I do think people are going to come to work frequently.
Operator: And there are no further questions at this time, I would now like to turn the call back over to Brian Chesky.
Brian Chesky: All right. Well, I just want to thank everyone for joining today. And just to recap, revenue was $3.7 billion, which is 10% higher than a year ago. Adjusted EBITDA was $2 billion and our trailing 12 months cash flow is $1.1 billion. Now this is representing a free cash flow margin of 38%. Our strong enables to repurchase $1.1 billion of our common stock this quarter and we're continuing to innovate and our product just keeps getting better. I am so proud that we accomplish and I am satisfied with that. Thank you all for joining.
Operator: This concludes today's conference call, you may now disconnect